Paul Nester: Good morning, everyone. I'm Paul Nester, President and CEO of RGC Resources Inc. Thank you for joining us as we discuss RGC Resources 2022 Fourth Quarter Results. We do have a few administrative items to cover. [Operator Instructions] The link to today's presentation is available on the Investor and Financial Information page of our website at www.rgcresources.com. Jason Field, our CFO; and Tommy Oliver, our Vice President of Regulatory Affairs and Strategy; as well as Kelsie Davenport, our Director of Finance are with me on the call this morning. All right. Moving over to Slide 1. We do have forecast and projections in today's presentation and our forward looking statement disclaimer can be found on the first slide. Moving on to Slide 2, the agenda. We'll start with a review and update of some of our operational results and financial highlights for fiscal 2022, as well as the fourth quarter. And Jason will then cover especially delivered volumes and financial results. Tommy will give us an update the RNG project and our base rate case that we just filed last week. And I will conclude with the discussion of the outlook for fiscal 2023. Moving to Slide 3. We just had another outstanding year in our Roanoke Gas subsidiary operationally. Our customer additions are up 11% compared to last year and we added 6.9 new miles of main in the fiscal year. You noticed our customer count may appear to be lower than last year and I believe we've talked about this in previous calls, but that is due to the service disconnect moratorium, which started in the spring of 2020 with the pandemic and lasted until the late summer of 2021.We did not reinstitute our processes of turning off delinquent customers until March of this year. So as we went through the summer, we were able to reestablish those disconnect processes and now that we're into colder weather here in early December, a lot of those customers as we've seen in the past have started to pay their bills and seek service reconnection. We certainly expect our first quarter 2023 customer account number to reflect that change. I would also like to mention a few other operational highlights that are not on the slide. We talk about our SAVE capital spending, but just want to give you a couple of stats from 2022. We renewed 8.3 miles of main and 605 services on the heels of doing 7.8 miles of main in fiscal '21 and 620 service. So in total, in the last 24 months ended September 30, we've renewed over 16 miles a mile and 1225 service, just an outstanding result. A couple of the other initiatives that we undertook. This year we did a really thorough safety culture survey and our operation safety is our number one priority and that survey produced good results and has given us some action plans to incorporate throughout our operation. I'll now hand it over to Jason who will discuss our delivered volumes, financial statements and capital spending.
Jason Field: Thank you, Paul. We are on Slide 4. Our fourth quarter delivered volumes were up approximately 181,000 dekatherms compared to the fourth quarter of 2021, which was a 14% increase. This increase was largely due to the same industrial customer we've highlighted in the past. This customer has the ability to fuel switch between their natural gas and coal in its construction materials manufacturing process. Their natural gas usage has continued into the first quarter of 2023. Let's move on to Slide number 5. We ended our year with total delivered volumes that were approximately 4% higher than fiscal 2021 in spite of a 6% decline in heating degree days. The decline in weather related deliveries to our residential customers was offset by the increase in our industrial transportation volumes. In fact, six of our top seven customers by volume delivered -- by volumes delivered increased their usage over 2021. We move on to Slide number 6. Our financial results reflect an additional impairment that was recorded in the fourth quarter in our midstream subsidiary. This second impairment and as you recall, the first impairment was taken in March was a result of our reassessment of the fair value of our investment in the Mountain Valley pipeline as of September 30, 2022. The 10-K provides all of the details, but the most recent hearing in the U. S. Fourth Circuit of Appeals and the timing of permit reissuances drove this assessment. For the fourth quarter of 2022, our operating income of $455,000 was approximately $100,000 less than the fourth quarter of 2021. Non-GAAP operating expenses for the quarter exceeded the prior year due to higher balances of bad debt expense, professional fees and general inflationary increases in other costs. Other income for the quarter was higher than the prior year due to the transfer of natural gas distribution assets from a local housing authority. In exchange for the renewed assets, Roanoke Gas assumed responsibility for their operation. For the year, we are pleased to report our operating income of $14,916,000 which is $137,000 higher than 2021. We've experienced increasing costs related to bad debt, professional fees and other higher operating and maintenance expenses, our teams continue to do a great job managing these expenses in an overall inflationary environment. Interest expense increased approximately 466,000 due to a combination of higher overall debt balances and an increase in the interest rate on our variable rate debt. Additionally, with no construction on the MVP since November of 2021, there was a significant reduction in equity earnings in our midstream affiliate, which is reflected in our fourth quarter and full year operating results. We move on to Slide number 7. Based on the comparison of our financial performance attributed to operations for the quarter and the year-ended 9/30, we've adjusted our GAAP results for the non-cash impairment loss on our MVP investment that were recorded in the second and fourth fiscal quarters. Our underlying net income for the three and 12 months ending September 30 adjusting for the impairment was a $75,000 net loss for the quarter and $9,179,000 of net income for the year. The decline for both periods was largely the result of the limited growth construction activity of the MVP in the current year compared to 2021. In the prior year, we recognized non-cash AFUDC of approximately $181,000 in the fourth quarter and $1.7 million for the 12 months ending September 30, 2021. Let's move on to Slide number 8. We experienced strong investments made by the Roanoke Gas for utility property for the 12 months of fiscal year 2021, which totaled $25,461,000 an increase of approximately 27.5% over the prior year. The fourth quarter was a robust capital spending quarter due to the RNG project, which Tommy will review in a minute, as well as execution by our teams and favorable construction conditions. For the year, capital expenditures were up primarily in SAVE. Customer growth and system expansion along with approximately $3.4 million invested in the RNG project. Paul will now discuss the outlook for fiscal 2023.
Paul Nester: Yes. Thank you, Jason, and we're on Slide 9. Before we review our fiscal 2023 capital spending forecast and our EPS forecast, Tommy will provide a brief overview and update of the RNG project and discuss the recently filed rate case, which will increase the non-GAAP base rates, our customers pay for natural gas service. Tommy?
Tommy Oliver: Thank you, Paul, and good morning, everybody. We are pleased how the project is progressing both from a construction and regulatory perspective. Pipe work on the RNG project is expected to be completed over the next couple of weeks, at which point we'll start moving the components over to the site and those components have already been constructed. Operationally, we expected to go into service in the second quarter of our fiscal year. From a regulatory perspective, the hearing was held the week of Thanksgiving, so the record is closed and it's in the hands of the hearing examiner or the administrative law judge. We expect a ruling from the hearing examiner in late December and a final order from the Commission in late January of next year. As discussed in prior earnings calls, the RNG project should add about $7.7 million to our rate base, which is going to be recovered through a rate adjustment clause. And this rate base of $7.7 million, which includes APDC and the G&A drawn is eligible for an enhanced return on equity of 100 basis points or 10.44%. Turning to the rate case, we did file that rate case and an expedited case with the SEC last Friday, December 2, we will be rolling in this revenues that are currently being recovered through our SAVE rider, though you'll see the SAVE rider get reset. We're requesting an incremental revenues net of save of about $4.4 million. We're not requesting a change in our authorized ROE of 9.44%. We have requested that the rates go into effect on an interim basis with billings beginning in January of 2023. We expect the review process to take anywhere from 6 to 12 months just depending on what parties intervene. I'll turn it back over to Paul then.
Paul Nester: Thank you, Tommy. We continue to be excited with the RNG project and our partnership with Western Virginia Water Authority and really looking forward to that project coming online. We are on Slide 11 and you can see the RNG project in green there. We have approximately $3.2 million of capital slated in fiscal 2023 to wrap up that project and move to that $7.7 million number that Tommy mentioned. We're going to continue, of course, moving on down the track with our SAVE infrastructure rider investments, renewing that pre-73 [indiscernible] and Related Services as well as some coated steel main services. And we also continue to have steady customer growth and system expansion in 2023. Let's conclude by reviewing our EPS estimate for fiscal 2023 on Slide 12. We've adjusted 2022 to the underlying numbers that Jason presented previously. Our 2023 forecast does show a loss in our midstream subsidiary as a result of financing costs. I mean, in particular, interest expense related to the higher interest rate environment, while we await the Mountain Valley project to get completed. Our fiscal year ending September 30, we don't expect any operating income from Mountain Valley in our fiscal year. We are of course forecasting a strong result from Roanoke Gas with the rate case, helping starting in January with January billings and offsetting the inflationary cost pressures that we're still seeing in the utility. We would like to note the dilution effect in fiscal 2023 from the March 2022 equity offering, that's approximately $0.07 per share. And finally, we're pleased to remind everyone about our slightly increased dividend to an implied annual rate of $0.79 per share. The payout ratio again on that 2023 forecast is in the 85% to 95% range and we're pleased with that. That concludes our prepared remarks. If you have any questions, please unmute your individual line and we'll be happy to entertain those.
Q - Unidentified Analyst: Good morning, everyone.
Paul Nester: Good morning, Mike. How are you today?
Unidentified Analyst: Doing well. Yourself?
Paul Nester: We're doing well too. Thank you.
Unidentified Analyst: I think it's cold in Roanoke.
Paul Nester: It was a beautiful cold morning about 25 degrees here today and the gas is flowing through the pipes and the meters are turning.
Unidentified Analyst: Two questions for you gentlemen today. On MVP, do you have a range of what you would expect your carrying cost to be for 2023 -- fiscal '23?
Paul Nester: Yes. I think Jason can chime in here too if I'm slightly off, but I think, Mike, we're expecting those pretax costs to be in the $2 million to $2.2 million of range for the fiscal year.
Unidentified Analyst: Okay. And then help but notice on one of the slides, the volumes, particularly the industrial customer that we've talked about in the past. Do you expect to have those volumes at least through the winter months?
Paul Nester: Yes. So that was -- you may have noticed we indicated that they're a construction materials manufacturer and we did use that language intentionally, Mike, because obviously, construction materials are sensitive to the broader economy even though this particular manufacturer by the nature of their materials seems to be hanging on and doing quite fine. In other words, they're not building housing, building materials specifically, it's more infrastructure type material. So they normally slow down a little bit in the winter and that's regardless of economic conditions. They do some plant maintenance in January. But we do expect reasonable volumes from them in the fiscal first quarter. And then certainly as we get back into the warmer construction months, around March or April for there to be hopefully reasonable volumes. Probably not quite as high as this year, based on what we're seeing, but probably still an okay year.
Unidentified Analyst: Okay. I was just wondering, I know that they could switch between coal and gas and just wondering how that dynamic is playing out at the moment in your market because it's different in every market.
Paul Nester: Correct. Yes, certainly in our fiscal 2022, they made a pretty significant switch from coal to gas as those commodity prices have levelized and become a little more predictable going into calendar 2023, we think they're probably going to actually blend a little more coal in 2023.
Unidentified Analyst: All right. So, helpful gentlemen. Thank you.
Paul Nester: Thank you Mike. Do we have any other questions from anyone on the call today? Well, if we do not have any more questions, this does conclude our fourth quarter earnings call and we really appreciate you joining us and look forward to speaking with you again in February as we discuss the first quarter results of 2023. It is our prayer here that you and your families have a blessed and safe holiday season and Merry Christmas. Thank you.